Operator: Welcome to HollyFrontier Corporation’s Third Quarter 2020 Conference Call and Webcast. Hosting the call today from HollyFrontier is Mike Jennings, President and Chief Executive Officer. He is joined by Rich Voliva, Executive Vice President and Chief Financial Officer; Tim Go, Executive Vice President and Chief Operating Officer; Tom Creery, President, Refining and Marketing; and Bruce Lerner, President, HollyFrontier Lubricants & Specialties. At this time, all participants have been placed in a listen-only mode, and the floor will be open for your questions following the presentation. [Operator Instructions] Please note that this conference is being recorded. It is now my pleasure to turn the floor over to Craig Biery, Vice President, Investor Relations. Craig, you may begin.
Craig Biery: Thank you, Rob. Good morning, everyone, and welcome to HollyFrontier Corporation’s third quarter 2020 earnings call. This morning, we issued a press release announcing results for the quarter ending September 30, 2020. If you would like a copy of the press release, you may find one on our website at hollyfrontier.com. Before we proceed with remarks, please note the safe harbor disclosure statement in today’s press release. In summary, it says statements made regarding management’s expectations, judgments or predictions are forward-looking statements. These statements are intended to be covered under the safe harbor provisions of federal securities laws. There are many factors that could cause results to differ from expectations, including those noted in our SEC filings. The call also may include discussion of non-GAAP measures. Please see the press release for reconciliations to GAAP financial measures. Also, please note any time-sensitive information provided on today’s call may no longer be accurate at the time of any webcast replay or rereading of the transcript. And with that, I’ll turn the call over to Mike Jennings.
Mike Jennings: Thank you, Craig. Good morning, everyone. We’re pleased to report solid third quarter results in the face of the economic down cycle caused by the COVID-19 pandemic. We remain focused on the health and safety of our employees, and I’m pleased to report we’ve had both safe and reliable operations across our three operating businesses during the third quarter. As we work through this last quarter of 2020, I remained confident in both the long-term market for our products and the ability of our talented employees. Turning to our third quarter results, we reported a net loss attributable to HollyFrontier shareholders of $2 million or $0.01 per diluted share. These results reflect special items that collectively increased net income by $65 million. Excluding these items, the net loss for the third quarter was $67 million or negative $0.41 per diluted share versus adjusted net income of $278 million or $1.68 per diluted share for the same period in 2019. Adjusted EBITDA for the period was $66 million, a decrease of $457 million compared to the third quarter of 2019. The Refining segment reported adjusted EBITDA of negative $54 million compared to $425 million for the third quarter of 2019 and consolidated Refinery gross margin was $4.93 per produced barrel, a 71% decrease compared to the prior period. This decrease was primarily due to continued weak demand for gasoline and distillates, coupled with compressed crude differentials. Third quarter crude throughput was approximately 391,000 barrels per day, above our guidance of 340,000 to 370,000. Our plants operated well and we saw somewhat better product demands than expected in our markets, particularly in the Southwest and Rockies. In August, we ran the last barrel of crude oil at Cheyenne and we began the conversion to renewable diesel. Our Lubricants & Specialties Products business reported EBITDA of $61 million compared to $38 million in the third quarter of 2019. Rack Forward EBITDA was $79 million, representing a 19% EBITDA margin. The Rack Forward segment saw improvement in industrial and transportation-related end markets, which drove higher demand and unit margins during the third quarter of 2020. Sales volumes improved 24% compared to the second quarter and were down 7% versus the prior year. Within the Rack Back portion, demand for base oils increased to fourth quarter 2019 levels, while supply was limited due to a number of factors, including plant closures, reduced run rates at base oil plants co-located with fuels refineries, and hurricane impacts on the U.S. Gulf Coast. This combination of factors drove higher margins and utilization at our facilities during the third quarter. In terms of maintenance, we successfully completed the planned turnaround on our white oils unit at Mississauga that began in late September and we’re back to running at full rates. Holly Energy Partners reported EBITDA of $55 million for the third quarter compared to $123 million in the third quarter of last year. Reported EBITDA for the third quarter of 2020 included a $36 million goodwill impairment charge, and reported EBITDA for the third quarter of 2019 included a $35 million gain on sales-type leases, both of which eliminated in the consolidated company’s financial results. At HEP, we’re continuing to see incremental improvement in demand for transportation and terminal services during the third quarter of 2020, particularly in the assets around the Salt Lake area, and we expect this trend to continue through the fourth quarter of this year. Although the current refining outlook remains challenged, we’re encouraged by the resilient financial performance from our lubricants and our midstream businesses in the third quarter. We’re making progress on all three of our renewable projects, which currently remain on time and on budget. We’re confident that demand for transportation fuels will return and will be well positioned for the next up cycle. And with that, let me turn the call to Rich.
Rich Voliva: Thank you, Mike. As previously mentioned, the third quarter included a few unusual items. Pre-tax earnings were positively impacted by a $77 million gain recognized upon the settlement of the company’s business interruption claim related to a loss at the Woods Cross Refinery, which occurred in 2018, along with a lower of cost or market inventory gain of $63 million. These items were partially offset by charges related to the Cheyenne Refinery conversion to renewable diesel production, including LIFO inventory liquidation costs of $34 million, decommissioning charges of $12 million and severance charges totaling $2 million. A table of these items can be found in our press release. Cash flow from operations was $82 million in the third quarter, which included $25 million of turnaround spending and $53 million of working capital gains. HollyFrontier’s standalone capital expenditures totaled $75 million for the quarter. In September, we reinforced our robust liquidity position through a successful $750 million bond offering. The offering consisted of two tranches of senior unsecured notes, a $350 million three-year bond with a coupon of 2.625% and a $400 million 10-year bond with a coupon of 4.5%. This opportunistic financing provides HollyFrontier with enhanced liquidity and ensures the necessary capital to fully fund the previously announced renewable diesel units located in Artesia and Cheyenne, as well as the pre-treatment unit in Artesia. As of September 30, our total liquidity stood at approximately $2.9 billion comprised of a standalone cash balance of $1.5 billion, along with our undrawn $1.35 billion unsecured credit facility. As of September 30, we have $1.75 billion of standalone debt outstanding with a debt-to-cap ratio of 25% and net debt-to-cap ratio of 3%. During the third quarter we declared and paid a dividend of $0.35 per share totaling $57 million. We did not repurchase any shares in the third quarter and do not intend to repurchase equity until demand for our products normalize and visibility improves. HEP distributions received by HFC during the third quarter totaled $18 million. HollyFrontier owns 59.6 million HEP Limited Partner units, representing 57% of HEP’s LP units at a market value of approximately $650 million as of last night’s close. We have reduced the range of our full year 2020 consolidated capital budget to $475 million to $550 million from $525 million to $625 million. For the full year of 2020, we now expect to spend between $187 million and $212 million of capital in HollyFrontier Refining, $130 million to $145 million in Renewables, $30 million to $35 million in Lubes & Specialties and $85 million to $100 million for turnaround in Catalyst. At HEP our capital budget has reduced to a range of $43 million to $58 million from $58 million to $69 million. For the fourth quarter of 2020, we expect to run between 360,000 and 380,000 barrels per day of crude oil. And we expect to adjust refinery production levels commensurate with market demand and economic drivers. Looking to next year, we are currently finalizing our future operating and capital budget and plan to release guidance later in the fourth quarter. And with that, we’re going to take questions.
Operator: [Operator Instructions] Our first question is coming from Paul Cheng. Please state your company. Your line is open.
Paul Cheng: Scotiabank. Hey guys. Good morning.
Mike Jennings: Hey, Paul.
Paul Cheng: Thank you. Two questions, on the cost reduction side, I mean at the [indiscernible] if we’re looking at your unit cost in the refining, there still seems high. Is there are any opportunity what we can do over there to further reduce your unit cost. Secondly, lubricant has been very strong in the third quarter report by everyone basically. And can you discuss what does the trend line look like? Do – have we seen that strong margin and also improved demand extend into the fourth quarter? Thank you.
Tim Go: Good morning, Paul, this is Tim Go. I’ll take the first question on refining OpEx. As you know, last quarter we announced some strategic decisions to take costs out of our refining business, that consisted of converting the Cheyenne refinery, from refining into the renewable diesel plant, which significantly will reduce our OpEx load as well as CapEx and turnaround burdens, especially looking into 2021. The other thing we announced was a restructuring, particularly around our SG&A costs. And as you recall, that was $30 million. $20 million of which will show up in SG&A, $10 million will show up in OpEx. We believe both of those steps are not only going to help us here in 2020, but will carry over into 2021 and continue to reduce our overall refinery costs. The other thing you’ll notice though is we are driving structural reductions in our refining costs. If you compare year-over-year, refining is down $20 million in the third quarter, roughly 8% versus what we got at last year. And year-to-date, it’s about $40 million or 5% year-over-year. We again believe that those reductions will be able to be carried over into 2021. And we’re continuing to drive further reductions there.
Mike Jennings: I’ll just be honest with you, Paul. I came to HollyFrontier to drive operations excellence. That involves EHS performance. It involves reliability improvements and involves operating efficiencies and operating costs. And so we are looking at what we consider to be high relative operating costs per barrel, we are working through the process to try to continue to drive those costs lower. We’re assessing gaps, we’re prioritizing those gap closure effectiveness and in some cases we’ve brought in some outside help, to help us look at our overall cost structures at some of our plants. So we’re not ready to announce or disclose anything further at this point, Paul, but I just want you to know we’re working hard on continuing to make our operating cost structure more competitive.
Paul Cheng: Hey, Tim. The $14 million of the lower OpEx, how much of them is related to the lower throughput?
Tim Go: Yes, it’s there are some amount of variable costs, obviously Paul that are included in that, but I would tell you most of that is fixed costs that either through deferred maintenance or lower maintenance or just more improved efficiencies in our structural cost center. So again, we’ve cut some overall structure in our refining business. We believe that will continue to carry on into 2021.
Paul Cheng: Thank you. And how about lubricant?
Mike Jennings: Okay. Thank you for the question, which I think was related to our quarter-end and the past quarter, demand performance. So, what I really enjoy about this business and the fact that it has a wide breadth of product serving a diversified portfolio of markets, many of which are inherently more resistant to economic downturn, such as food, pharma, personal care and cosmetic applications. Other areas which had strong performance throughout the COVID-19 environment are forestry, mining, construction, heavy industrial, all of which we serve. And passenger car motor oil and other auto related product lines began recovering strongly in the mid-third quarter and have continued to perform. And so while volume is down year-over-year for the same quarter slightly, we’ve enjoyed higher volumes than we would’ve expected. We’ve enjoyed lower cost of goods and just leads to a higher gross margin, which further benefited from well managing a reduced SG&A, leading to our strong EBITDA. Our order book remained strong in the current quarter, along with the same cost of spending trends and the demand side recovery remains robust as we looked fourth the quarter subject of course to the normal seasonality and the risk of further COVID-19 restrictions, such as lockdowns and et cetera.
Paul Cheng: How about margin?
Mike Jennings: Margin should flow accordingly. I’m not so sure given some of the seasonality that would be as robust as the third quarter, but it certainly will be elevated in trend line over the earlier part of the year.
Paul Cheng: Thank you.
Operator: Your next question comes from the line of Brad Heffern from RBC Capital Markets. Your line is open.
Brad Heffern: Hey, good morning, everyone.
Mike Jennings: Hi, Brad.
Brad Heffern: Starting with the question on renewables. Can you give the CapEx spending heard so far and sort of just verify that the trajectory that you guys provided of the $150 million to $180 million for this year and $450 million to $500 million for next year is still sort of approximately what we’re thinking.
Rich Voliva: Hey, Brad, it’s Rich. So incurred to-date number I don’t have right in front of me, what I can tell you is that we guided, we reduced the guidance here for 2020 to $130 million to $145 million from the $150 million to $180 million, what’s happening here is really timing of invoices are sliding a little bit into the first quarter. As Mike mentioned, the projects are still on time and on budget. So I think what you’re seeing is probably going to be a little bit of shift of spend of dollars actually out the door from 2020 to 2021, but no overall impact.
Brad Heffern: Okay. Got it. Thanks for that, I missed that. And then I guess, sticking with you Rich. On working capital, can you just talk about, are we level on that at this point or do you see any puts and takes on that in the fourth quarter? And then, additionally, many of your peers have called out a sizable tax receivable, potentially in the second quarter or the third quarter of 2021, do you have a balance like that, that you can call out?
Rich Voliva: So Brad, on working capital, I think we’re probably going to be neutral to maybe slightly positive here in the fourth quarter from an inventory perspective, we’re pretty much where we need to be. So as you’re aware, this is going to turn into a function of what the flat price does primarily, the curve obviously looks pretty flat, so you wouldn’t expect a huge move in working capital either way. We are now – to your second question on a tax, we are now forecasting a taxable loss for 2020. So we’d expect to see a refund in the second quarter. But we’re not in a position yet to give a number, the good news. I mean, this is one of those good news, bad news stories, right. You would prefer not to have a loss. So we’re just crossing the line we’re forecasting at. So again, we do expect to see a refund next year, but I don’t have any guidance for you at this point.
Brad Heffern: Okay. Thank you.
Operator: Your next question comes from the line of Manav Gupta from Credit Suisse. Your line is open.
Manav Gupta: Hey, this is probably would be for Tom. Your renewable diesel production would hit about 200 million gallons. So you get about 1.7 times diesel rates, so technically that lowers your rent obligation by 314 million gallons, once the both the facilities are up and running. So I’m trying to understand what’s the current rent obligation in terms of volume net off blending, and when the 314 million additional gallons do come in, then how much do you lower your volume obligation?
Tom Creery: Hi, Manav. Good morning, it’s Tom speaking. We look at the rent coverage a little bit different lead than just on the volume metrics standpoint. And let me walk through with you on how we do look at it. We look at it on a value basis, so we do the same math as you. And then we look at the difference in the price between D4s and D6s assume that we would sell all the D4s and take those revenues and purchase back the D6 and that’s keeping with consistent RVOs. And under that methodology, we see ourselves being balanced, when the renewable diesel plants come up and are in operation.
Manav Gupta: So your rent obligation technically goes away once you’re up and running in these facilities.
Tom Creery: Based on the numbers that we see right now, the answer to that is yes. There’s a lot of things that can go on between now and then, but directionally, that is the case. And that was the main justification for us getting into the renewable diesels, are one of the main ones, as you recall, we are looking at it as a compliance mitigation factor for the RFS program.
Manav Gupta: Perfect. Second quick question. The pre-treatment unit, should we assume given the location that, you will be basically targeting distillers corn oil and maybe some animals fat or is it a 50-50 animals, fat and distillers corn, like if you could give us some idea as to the lower carbon intensity feed stock, which is the main one you’re targeting with your pre-treatment unit?
Tom Creery: Well, the PTU that as you know this located at Artesia, we’ll be able to run a variety of different low CI feedstocks, including DCO, tallow, UCO. And what we’re going to be doing there is this just not necessarily a price determination, it’s a price to yield to CI, and it’s sort of like running an LP in a crude oil refinery. We are going to purchase and run through the PTU those feedstocks that give us the best return. And that could also mean that we run soybean, just 100% soybean. So we will be looking that on an ongoing basis. When you look at the DCO amounts that are across the country and tallow, they are not unlimited supplies, they’re lower volumes, they’re going to be bid up in price and we’ve seen increases year-on-year on those low CID stocks. And that’s why we’re looking at soy as well, because it’s not, we’re not seeing the same price increases on soy.
Manav Gupta: Thank you for answering my questions.
Tom Creery: Thank you.
Operator: Your next question comes from the line of Ryan Todd from Simmons Energy. Your line is open.
Ryan Todd: Good, thanks. I don’t ask this as a suggestion, but I’m just curious for your thoughts. Your balance sheet is obviously strong enough to maintain the dividend going forward and increase the visibility on the capital programs with the – but the debt raise this quarter, but with the market not giving you a ton of credit with this 7.5% dividend yield, is there an argument for using the excess cash to buy back your under revalued stock as opposed to paying the dividend right now? I’m just curious how you think about the relative benefits of the options of using cash, given the steep discount to equities
Rich Voliva: Good morning Ryan, it’s Rich. So look, we see a tremendous opportunity in our equity. That said we’re committed to adding long run value in what we’re doing in the renewables business in particular. So that’s really going to be the source of our cash. We also view the dividend very seriously and view it as the primary source of our cash return to shareholders. The cash return is fundamental in a mature low growth industry like ours. And we’ve consistently acted upon that in the last 10 years with industry leading cash returns. Now that said, like these are unusual times and visibility is poor. So as we discussed the level of the dividend in particular with our board who make the dividend decision, we need to balance cash returns, maintaining an investment grade rating and financing the company. So look to your point, we see tremendous opportunity in the shares themselves, but we’ve probably got more immediate needs for cash in the next 12 to 15 months.
Ryan Todd: Correct. I appreciate that Rich. And maybe as a follow-up and there’s been a lot of discussion lately in the market on capacity rationalization in refining, you guys have obviously already taken action there with ongoing conversion at Cheyenne and the efforts at Artesia. Can you talk about how you view the resilience across the rest of your portfolio, if the environment weakness persists well in 2021 and maybe for the broader sector, how you view that dynamic playing out over the next 12 months between demand recovery and capacity rationalization?
Mike Jennings: Ryan, this is Mike I’ll speak to our portfolio, as to fund it for the industry. We have an opinion, but I don’t know that it’s better than anybody else’s frankly. Within HollyFrontier, we feel like we’ve recently taken action on our least competitive refining asset to create a substantially more competitive renewable diesel business. And that includes the pre-treatment unit that Tom spoke of, the strategic nature of that and the ability to optimize feedstocks is going to be real important to these two renewable diesel plants. As to the remainder of the refining portfolio, each of these assets has something special in terms of either its geography, feedstock, served markets, et cetera. And so we feel as though the existing asset portfolio has strength and durability. If we take the Tulsa asset for example, the Group I lubricants production is something that many petroleum refiners simply don’t have. And Group I lubes is becoming short in supply and fairly beer. And so that gives a competitive advantage to Tulsa. And as we March through our portfolio, we seek out to create competitive advantage in each of these assets so that it has some durability. As we look forward the fuel segment, clearly we have compressed demand. Questions is, how quickly does it respond to recover and to what level? We think that hydrocarbon fuels are intrinsically valuable and there’ll be a huge market for this product as we roll forward, but the most competitive assets will prevail. So creating advantage within our portfolio and to the extent that opportunities come up adding the most competitive assets to that portfolio is something that we want to do. We believe in this business and our point is to try to get to the right point on the supply curve.
Ryan Todd: Okay. Thanks Mike.
Mike Jennings: Yes.
Operator: Our next question comes from the line of Matthew Blair from Tudor Pickering Holt. Your line is open.
Matthew Blair: Hey, good morning, everyone. I had a question on the Salt Lake City refining market, it looks like cracks – especially diesel cracks, they’re actually pretty strong for this time of year. Could you talk about the dynamics here? Are there supply issues that are pushing things up and could you also talk about the Salt Lake City to Las Vegas is that open at this time?
Tom Creery: Yes. Good morning, Matthew, it’s Tom. Let’s start with Woods Cross, high level, we’ve been very pleased with the crack spreads that we’ve seen in Woods Cross, they’ve remained high and consistently high when compared to other markets and we expect them to stay that way. In terms specifically of the distillate markets of late, we attribute that to a lot of the harvest in Idaho, sugar, beets, potatoes, wheat up there it’s been strong. We still see there’s been a big growth in demographics in that Salt Lake City Valley and with limited options to get product into that market. We expect to continue to see pretty good margins as we go forward. The arbitrage between Las Vegas and Salt Lake is volatile. And a lot of it depends on the U.S. West Coast supply demand and the pricing there because of the northern pipeline, pipeline can deliver a lot of product into that market in a big hurry. The other thing is that we’ve seen the Las Vegas market pretty much decimated with COVID-19, it’s really fallen off there, as you could well imagine with the casinos being shutdown. As they come back in, more people will go to Vegas. So, it has and we will continue to be – our opportunity is to capture the highest margin, whether it’s in Las Vegas or Salt Lake by putting the barrels into the right place at the right time. And we continually do that on a month-to-month basis.
Matthew Blair: That’s helpful. Thanks. And then what’s going to happen to your WCS pipeline capacity to Cheyenne, are you still going to, I guess take WCS on those pipes and just resell them into other markets or are you giving up that capacity? And could you also talk about your outlook for WCS differentials here? Thanks.
Mike Jennings: Okay. WCS differentials, we are keeping our express base. We view that as a valuable commodity to move barrels out of Hardisty as we move forward. I think we can probably expect XL going to be built anytime soon nor Trans Mountain express. So we’re going to still be confronted with the same metrics that we’ve had for the past few years, for the next few years and that’s apportionment on the Enbridge system and Keystone being full. So the express outwit gives us access to various markets, including the petrol goods at St. Louis market as well as there is an opportunity to move on flat and then tie back into spearhead to get to cushing, that is in place with Enbridge right now, and we’re looking at some other alternatives. We may or may not use that space for WCS, we’re also going to be using some of that capacity to supply our Woods Cross refinery with synthetic crude, because it’s a good fit for us. But there is also an opportunity to move like a mix blend, mixed sweet blend out of Edmonton down into Cushing and sell it as WTI if the differentials are there, so there again, we’re going to use flexibility and picking the right crude to generate the highest net backs for us. Going forward on WCS, we know that the production restrictions are coming off in December of this year. That’s a good move by the Alberta government, although they reserve the right to put them back on, I think until the end of 2022. But when you look at production numbers over the past few months, they’re not even hitting those levels and the production allocation scheduled by the Alberta government. And we’re also seeing 22% on apportionment. So there’s not enough take-away capacity, but there is some storage availability. There’s only 20 million barrels of storage being taken up at Hardesty. And I think the maximum there is 50,000. So in the short-to-medium term, we probably see WCS differentials hanging in around this $10 mark is what we’re seeing now on the marketplace, but looking further, we would expect that as producers get back in the field, start drilling again, that there’ll be more WCS coming into the market and that differential widening to more historic levels.
Matthew Blair: Great. Thank you.
Operator: Your next question comes from the line of Neal Mehta from Goldman Sachs.
Neal Mehta: Hey, good morning guys. First question is just on the quarter, there’s a lot of noise in the refining margins per barrel, because of some of the one-time items. Do you mind going by regions calling out with the adjusted gross margins were?
Tim Go: And Neal, this is Tim. Let me try to take a shot at it. The messiest region was the Rockies because of the Cheyenne situation that we had as Mike mentioned at the beginning of the call. We pulled oil on August 3rd in Cheyenne. The index that we publish does not take that into consideration. And so what you have to do is understand that, really you got to adjust that index for only running one month not three. The other thing is we had some decommissioning and severance costs that flow into our numbers in the Rockies that will also impact the gross margin. So when you look at what we saw in the Rockies and you account for those two things, we are about a 70% capture of what we published in our index. If you look at the mid-con, that was significantly lower quarter-on-quarter than where we’ve been in the past, primarily that’s driven by compressed crude differentials with the Brent/TI spread compressed as well as the WCS. And then over in the Southwest, again, that was probably the cleanest region that we had, and there’s nothing specific to call out from that region.
Neal Mehta: Thanks, Tim. And sticking with the HollyFrontier Index that you published, the Group II VGO margin for October was very robust. I know we’ve talked a little bit on the quarter about Q3 lubricant speeding. But was there anything one-time in nature there due to hurricanes or storms that disrupted supply? Or do you view that as potentially a new normal of a higher run rate on Rack Back in lubes?
Tim Go: We certainly saw some supply disruptions associated with the hurricanes that hit into Louisiana. That – I think that short-term supply disruption has certainly improved the Rack Back business, both at Tulsa and at Mississauga. We have talked about over the past year or so that we did think that the supply demand balances would return closer to normal. They were depressed in the last 12, 18 months as we’ve talked about. And we believe that we are seeing some of that. So, yes, there was certainly a one-time correction through some of the weather disruptions, but we think from a secular trend standpoint that the Rack Back business is improving.
Neal Mehta: All right, guys. Thank you.
Operator: Your next question comes from the line of Theresa Chen [Barclays]. Please state your company. Your line is open.
Theresa Chen: Hi. Barclays. So first, I wanted to touch on the demand picture related to your markets. And just given the uptick in cases in many areas of the Mid-Continent, what are you seeing as far as live demand data points for gasoline and diesel?
Tom Creery: Hey, Theresa, it’s Tom. I’m going to give a shot at answering this highly vivid question as COVID rages and its ebbs and flows all over the place. And I’m going to talk to all three regions because they’re all a little bit different and some of them are falling national patterns and some of them aren’t. And let’s start with the easy one, Woods Cross or Salt Lake City has been very good in demand across both gasoline and diesel, and we continue to expect it to remain that way. The Southwest has been pretty good and it’s exceeded expectations to some degree by the shutdown of the Marathon refinery in the Four Corners area, which has really helped our markets. And some of the Northern Arizona markets have become better for us. So that’s a benefit, maybe the only benefit of the COVID at this point in time. But it’s a nice new little market that we’re getting into that could be upwards of 10,000 to 12,000 barrels a day of incrementally priced, attractively priced barrels. In the group, we’re seeing more supply demand in line with national averages. I think what we’re seeing is gasoline demand down through the Magellan system year-on-year by about 11%, distillate less than that, right now it’s probably running 4%, but we attribute that to some of the harvest activity that’s going on in the Mid-Continent. The harvest this year is earlier than in prior years. I think on corn, we’re at almost 80% of the harvest as compared to last year we were probably around 60% – 55% to 60%. So that’s an uptick. So we expect distillate demand to fall off a little bit as we go into the winter here as you can well imagine. We also see fluctuations due to COVID about when people went back to school. There seemed to be a spike in gasoline demand in those areas. That seems to have been settled down, but there again, it’s when people start to go back to work and we get more commuting going on, we’ll see more gasoline demand. So that’s sort of how we see it across the various regions. I did not talk about jet because jet is in its own little category. We end up being down more than 50% on year-on-year. And there’s a lot of factors that are going to have to change before we see big increases in the jet demand at this point in time.
Theresa Chen: Thank you. And Rich, can you just give us an update on your conversations with the rating agencies? And what kind of timeline or quantitative measures they’re looking for to change either way?
Rich Voliva: Yes, Theresa. Absolutely. So we stay in regular contact with the agencies. Obviously, we spoke to them a lot in September when we were issuing debt. And I’ll note that all three of the agencies maintain both their ratings and their outlooks when we made that issuance. They look at things at broadly on both the mid-cycle and on a trough basis. Approximately 3 times mid-cycle of debt-to-EBITDA is the threshold they’ve communicated to us. And we believe we’re going to get through 2021 without an issue there. And then in the long run, obviously as we go into 2022, we’ll be generating substantially more cash flow. Our growth into renewables is going to be credit positive for both diversification and the stability of earnings it’s going to bring. So we feel like we’re in pretty good shape on the rating side.
Theresa Chen: Thank you.
Operator: Your next question comes from the line of Phil Gresh from JPMorgan. Your line is open.
Phil Gresh: [Inaudible]
Rich Voliva: Phil, Phil, we’re having a really hard time hearing you.
Phil Gresh: [Inaudible]
Rich Voliva: Yes. Well, can I suggest you drop and dial back in?
Operator: [Operator Instructions] Your next question comes from the line of Jason Gabelman from Cowen. Your line is open.
Jason Gabelman: Hey, I wanted to ask two questions. First, on the Rockies region; given that Cheyenne is now being shut down for conversion, could you just, one, talk about what the Woods Cross operating cost structure is anyway to quantify that to help us model it on a go-forward basis? And then also, the costs that Cheyenne will be incurring during the period that it’s being inverted, I believe that there is some overhead costs that are going to be associated with the plant. And then secondly, I wanted to just get your updated views on the low-carbon fuel standards outlook. I think there’s a lot of focus on the fact that other states are progressing legislation to pass programs. That’s probably going to be a medium-term benefit, but it seems like it’s going to take some time for that to get passed. So just wondering more near-term between now and call it 2022- 2023, what your thoughts are on the way credits price over that time? Thanks.
Rich Voliva: Hey, Jason, it’s Rich. Let me take a shot at your costs question. In September, we put out an 8-K, where we re-cashed our refining regions with costs data side pointed to that, for context in general, as you would expect Woods Cross is a higher cost plant just because of its size. The other thing I’d point out is there’s; call it, $3 a barrel of HEP charges in the Woods Cross operating expenses. So it makes it look a little higher than it really is. But again, I’d reference you to that 8-K to help with the modeling. Going forward then on Cheyenne, we’re going to put out – we’ll put out guidance later in this quarter for both capital for 2021, and to your point, some cost guidance for 2021 around Cheyenne. We’re going to put the expenses associated with renewables in our Corporate segment for the next four or five quarters until we have revenue and renewables to report. So we’ll give you some better detail there in a few weeks.
Jason Gabelman: Thanks.
Tom Creery: And Jason, it’s Tom. And I’ll answer your question on the LCFS issues. We agree with you that there’s probably not going to be any huge markets opening up in the next couple of years as various states triangle through, get a model in place, whether it’s the California model or something else to get renewable diesel into their markets. So we continue and what we’ve modeled our economics on is a continuation of selling into the California market, which is already established. For the next couple of years, we don’t expect a lot of renewable diesel plants to be coming on stream because of permitting or COVID problems. We’re in a unique position because most of our permits are either in hand and all of them have – if they’re not in hand, they had been filed and we expect approval to meet our schedules. So we will be up and running and be able to take advantage of the California market. And as a result, we think that we’re – the LCFS credits will be in the same range as they are now, that $180 million to $200 million number that we’re looking at, and that’s good news for us. And just another point to make is on the BTC we have not included any BTC benefit past the year 2022. So our outlook and our economics are very conservative at this point in time. If you asked me offline, I would probably say that I wouldn’t expect BTC to be continued past 2022, maybe not in the same form it is now, but it would – could be – I think it will be continued in some format.
Jason Gabelman: Great. Thanks for the color.
Tom Creery: Okay. Thank you.
Operator: Your next question comes from Phil Gresh from JP Morgan. Your line is again open.
Phil Gresh: All right, let’s try this again. Is this better?
Rich Voliva: Much better. Thanks.
Tim Go: Better, Phil.
Phil Gresh: Sorry. And my first question is on lubes, just to follow-up there. Obviously, through this COVID situation, really strong results and that was staying in the second quarter. As you look ahead to 2021, do you think that – would you say you’re getting more comfortable that you could reinstate guidance there? I know in the past you’ve been willing to give guidance on Rack Forward, but this whole $250 million to $275 million range, is that still kind of a normalized view for you or what are your latest thoughts there?
Rich Voliva: Hey, Phil, it’s Rich. So look, we think that is in the long run in the mid-cycle, what we think that business can do, I think at this point given the fluidity of the COVID situation as Tom just referenced, it’s probably a little premature to give 2021 guidance. But as Bruce mentioned, we’re comfortable with what we’re seeing here in the fourth quarter and feel confident about that.
Phil Gresh: Great. Okay. And then on refining, I just want to follow-up on the Mid-Con performance. Obviously, the capture rate was very low there. And you’re lapping the second quarter when you had the contango benefits. So it sounded like what you were saying is just that this is low crack tight diffs equals little capture, but was there anything unique in the quarter that you would point out? Or is this just kind of the run rate as when we’re in this type of environment?
Tom Creery: Yes. Phil, when I look at the numbers in the Mid-Con, it really boils down to the crude differentials, especially if you look quarter-over-quarter. Our crude diff compressed significantly in the Mid-Con to the tune of about $3 a barrel, which really just bridges the difference between the second quarter capture and the third quarter capture.
Phil Gresh: Great. Okay. All right. Thank you.
Operator: There are no further questions. I will turn the floor back over to Craig for any closing remarks.
Mike Jennings: Great. Thanks, Rob. This is Mike Jennings. We appreciate you participating with us today and hearing through our third quarter. The economic environment that we are participating in right now is obviously testing the Refining space. And with that said, HFC is really well equipped with an investment-grade balance sheet and approximately $2.9 billion of existing liquidity. We’ve been investing in our asset base to further strengthen four distinct business segments that we believe will provide great diversification through the cycle and through down cycles in Refining as we currently see. We’re really heartened by the performance in our lubricants and our midstream business through this third quarter. I think that validates the investment thesis that we have, and we see growth in both of those businesses, naturally occurring as economic activity sort of recovers to more normal levels. Finally, we sit in and serve premium niche markets for our products, and then still have great crude sourcing advantage and flexibility as kind of accentuated by Tom in what we’re doing with our express space. We believe that will add value, helped us to improve our capture and ultimately gross margins due to geographic location and to the logistics assets that we have access to. So, strong on our business as we look forward and looking heavily toward investing in our renewables business is something that’s exciting and is going to grow a lot of value for this company. So, thanks again, and we look forward to talking to you next quarter.
Operator: Thank you. This does conclude today’s teleconference. Please disconnect your lines at this time and have a wonderful day.